Operator: Good day, everyone, and welcome to the Bemis Company Third Quarter 2011 Earnings Release Conference Call. This call is being recorded. For opening remarks and introductions, I will now turn the call over to the Vice President and Treasurer for Bemis Company, Ms. Melanie Miller. Ms. Miller, please go ahead.
Melanie E. R. Miller: Thank you, operator. Welcome to our Third Quarter 2011 Conference Call. Today is October 26, 2011. After today's call, a replay will be available on our website, www.bemis.com under the Investor Relations section. Joining me for this call today are Bemis Company's President and Chief Executive Officer, Henry Theisen; and our Chief Financial Officer, Scott Ullem. Today, Henry will begin with comments on the performance of the business, followed by Scott with comments on the detailed financial results. After our comments, we will answer any questions you have. However, in order to allow everyone an opportunity to participate, we ask that you limit yourself to one question at a time with a related follow-up and then fall back into the queue for any additional questions. Before we begin, I'd like to remind everyone that statements regarding future performance of the company made in this teleconference are forward-looking and are subject to certain risks and uncertainties. Actual results may differ materially from historical, expected or projected results due to a variety of factors, including currency fluctuations, changes in raw material costs and availability, industry competition, unexpected consumer buying trends, changes in customer order patterns, our ability to pass along increased costs in our selling prices, unexpected costs related to plant closings, changes in government regulatory requirements, interest rate fluctuations and regional economic conditions. A more complete list of risk factors is included in our regular SEC filing, including the most recently filed Form 10-K for the year ended December 31, 2010. Now I'll turn the call over to Henry Theisen.
Henry J. Theisen: Good morning. The third quarter results were within our range of EPS guidance. Although volumes weakened as the quarter progressed, limiting our performance to the low end of the range. The results vary from region to region, so I will go through the details by geography. In North American Flexible Packaging, we experienced lower volumes in most of our market categories. These mirrors the softening demand experienced by our customers in the product categories that we serve. In Latin America, we experienced substantial volume declines as our customers responded to the slowing economy. In addition, with the Brazilian currency weakening by nearly 10% during the quarter, raw material imports to that region became more expensive. In response, domestic suppliers took the opportunity to increase their prices to match this currency move. This created an unexpected increase in raw material costs in our Latin American operations and will put downward pressure on our operating margins during the fourth quarter as products are shipped. This is the only region of the world where we are still seeing meaningful increases in raw material costs. We raised prices in our European food Flexible Packaging business in response to increased raw material costs and reduced volume in more competitive products due to a combination of pricing and challenging economic conditions. I am pleased to see that the result of these actions, sales mix and operating margins in this region have improved. In our pressure sensitive materials business, our roll label commodity product line continues to have volume challenges in this difficult economy. New products are helping to offset this impact. Since early June, raw material costs in North America and Europe have been generally stable. This gave us a chance to adjust our selling prices during the third quarter to reflect these increased costs. We have experienced some minor raw material cost decreases recently but expect costs to remain stable for the rest of the year. With volumes down and not expected to improve before 2012, our management teams are working aggressively to reduce costs and adjust our workforce levels where necessary to meet lower production needs for the fourth quarter. The fourth quarter is historically a slower time for us, with most of the holiday-related food packaging shipments occurring by the end of October. November, December volume level with fewer shipping days reflect the slower seasonal demand of the winter months and result in lower fixed cost absorption during the period. This year, we do not expect the month of October to reflect the normal seasonal volume strength. Our lower guidance for the fourth quarter and the total year has incorporated these lower volume trends. Customer feedback leads us to believe this to be a short-term trend and not a permanent change in volume levels. We experienced a similar decline during 2007 and during the fourth quarter of 2008, when consumers were forced to tighten their belts and adjust their grocery spending. In each case, we found that our North American customers responded to these market conditions by introducing new products to regain consumer attention. These new products each represented an opportunity for Bemis to gain new business, reset price points and improve sales mix with value-added products. As I mentioned, after the first quarter, our customers have been working on new products at a steady pace since our Food Americas acquisition, tapping into our new capabilities and taking the opportunity to reinvigorate the innovation process. One example that we have been touting for months is the Dip & Squeeze product, which is benefiting from a successful marketing initiative; stable, quick service restaurant demand levels; and their new retail version for the grocery store. In the food service business, our Liquiflex, 13-layer high barrier film is generating sales and opportunities as a replacement of the number 10 can. Switching to our medical device packaging business, we have developed for 2 key customers a high-barrier film used to package the new drug-eluting stents introduced into the U.S. and European markets in 2011. In our press release this morning, we commented on new optimization initiatives that will result in workforce reductions and several small plant closings. We also expect to incur costs related to this optimization initiatives through 2012. I'll let Scott get into more of the financial details, but these activities will generate savings and operating profit beginning in the first quarter of 2012. Lastly, I want to mention that we acquired a Chinese flexible packaging business during the third quarter, Mayor Packaging. This edition provides our Asia-Pacific footprint with more complex food packaging capabilities including standup pouches and retort technology. This is a great complement to our existing medical device and shrink bag capabilities in that region. The operations are well-capitalized and offer room for expansion in the future as we grow our presence in the Asian food packaging markets. 2012 continues to be a challenging year, bookended by dramatic raw material cost increases during the first half and meaningful lower volume levels during the second half. While it is disappointing to have accomplished so much in the business with so little to show for it in the bottom line, we are keenly focused on the successful execution of initiatives that will drive us toward our goal of improving operating performance and growth in the future. Now I'll turn it over to Scott for his comments on the financials.
Scott B. Ullem: Thanks, Henry, and good morning, everyone. Today, we reported GAAP diluted earnings per share of $0.53, which included $0.03 of transaction-related costs associated with our Mayor Packaging acquisition. This adjusted EPS of $0.56 was $0.01 less than last year's third quarter adjusted EPS of $0.57. The increase in net sales of 4.9% reflects 2.3% increase due to currency translation, 1% from the addition of new sales from Mayor Packaging, our recent China acquisition, and the balance from higher selling prices, which were partially offset by lower volumes compared to the same quarter of last year. On average, this quarter's volumes decreased by mid-single-digits versus last year's third quarter. Gross profit margin decreased both compared to last year's third quarter and to this year's second quarter. While we have been passing along to customers the raw material cost increases from the first half of the year, gross margins continued to be under pressure as lower production volumes reduced fixed cost absorption. Selling, general and administrative expenses were down sequentially from the second quarter of 2011, due principally to the reversal of incentive compensation accruals. Our effective income tax rate year-to-date was 36.2%, down from the 36.5% rate for the first half of the year. This resulted in an effective tax rate of 35.5% for the third quarter. Note that net income attributable to Bemis is higher this quarter due to the successful repurchase of preferred shares of our South American operations on July 13. This is reflected in the line item net income attributable to noncontrolling interests, which this quarter is only the $348,000 of minority income for the first couple of weeks of the quarter and in future quarters will be 0. Looking at the balance sheet, working capital balances remained higher than they were at the end of 2010, but have come down by over $50 million since the high at the end of the second quarter. Working capital balances should continue to decline during the fourth quarter as higher-priced inventories shipped and receivables are collected. Net debt to latest 12 months adjusted EBITDA was 2.4x at the end of the third quarter. We have used our balance sheet to fund 2 growth acquisitions, Mayor Packaging and all the preferred shares of our Brazilian operations. We also repurchased an additional 1.2 million shares of Bemis common stock during the third quarter for $38 million, bringing the total repurchased in 2011 to 5 million shares. The remaining share repurchase authorization at September 30 was 4.5 million shares. Cash flow from operating activities for the third quarter was a record $169 million, reflecting the benefits of the decrease in working capital levels. Short term, we intend to use our future cash flow to repay our $300 million bond that matures in April of 2012. Turning to guidance, guidance for the fourth quarter is $0.36 to $0.42, bringing total year guidance to $1.90 to $1.96. This does not include severance charges in the range of $0.04 per share. These workforce reductions alone will create annualized savings of about $0.06 per share beginning in 2012. There will likely be additional charges associated with plant closings through 2012. However, the timing and total costs of those actions have not been finalized. We will provide more specific details for you in our year-end conference call on January 26. In summary, we are facing volume headwinds in our business. But we have gone through short-term periods like this before. We have a resilient business model, a strong competitive position and opportunities to improve operational efficiencies. We feel positive about 2012 and look forward to laying out our full year guidance in January. Now we'll take any questions you have.
Operator: [Operator Instructions] And our first question comes from George Staphos with Bank of America Merrill Lynch.
George L. Staphos - BofA Merrill Lynch, Research Division: Two questions for you on volume and SKUs. The first one, if I look back at '07, it took about 4 quarters for you to turn positively on a volume basis. This quarter, you were down -- second quarter, you were down. So should we assume that maybe you have another couple of quarters including the fourth before you turn positive on volume?
Henry J. Theisen: We had concerns from our customers which we talked about at the end of the second quarter conference call. Our customers continue to express those concerns. We've seen them turn into facts, so that's why we're guiding that way for the fourth quarter. What's going to happen in the first part of next year, I really don't know how our volumes will turn. It’ll be mostly based on what goes on in the macroeconomic conditions and how the end-use purchaser of food products responds to this climate.
George L. Staphos - BofA Merrill Lynch, Research Division: Right. Appreciate the color, Henry. I guess the other question I had, as you analyze your businesses and really here, I mean, within flexible packaging, what percentage of the portfolio do you think right now is actually burning your cost of capital, what percentage of the portfolio isn't? And what actions, you mentioned some plant closings, what actions do you think you might take to remediate the portion of the portfolio that's not earning the margin return that you should deliver for your investors?
Henry J. Theisen: Well, first off, the small plant closings that we're going to be doing through the course of 2012 aren't really related to the volumes that we see. What we're really seeing is, as we've talked about, we want to optimize our footprint and put the specifications into the best-running facilities, so we get the highest margin and the most productivity. So as we look through and we optimize our specifications, that generates activity to move business into other facilities where we'll have a higher return on that business. And also as we work through, as we talked about our world-class manufacturing, we're opening up some additional space in various facilities that we're going to take advantage of. So the small plant closings are not related to really the volumes. It's related to the opportunities we've generated through specification consolidation and through world-class manufacturing.
Operator: And our next question comes from Ghansham Panjabi with Robert W. Baird.
Ghansham Panjabi - Robert W. Baird & Co. Incorporated, Research Division: The 5% -- the mid-single-digit volume decline you touched on, how does that split between flexible packaging and PSM, and I'm sorry if I missed that, if you broke that out?
Melanie E. R. Miller: That's okay. Flexible packaging is -- well, flexible packaging is 90% of the company, so it’s pretty much for flexible packaging. PSM was down high single-digits as far as volume. So volume was a little bit worse there, but completely offset by a year-over-year price mix improvement.
Ghansham Panjabi - Robert W. Baird & Co. Incorporated, Research Division: Got you. And on the flexible packaging, just sort of based on what Henry's commentary was on the customers, what the customers are saying at this point, is there any deviation in trend between private label and branded? And also, can you just touch on whether you lost any market share during the quarter in North America?
Henry J. Theisen: As we said in the past, we really don't care whether it's a private label or a branded product. We really didn't see any big switch from branded to private label. Things were pretty consistently down across the board in both categories. And as far as market share, as I talk to our key operating guys, we're not noticing where we would say we've lost market share. We do have, in our more commodity or competitive-driven areas, we lose business and we win business. And sometimes, it affects the quarter, sometimes you get it back in the next quarter, but I don't see any different trends as far as losing market share or losing business than we see in our overall day-to-day business.
Operator: And our next question comes from James Armstrong with Vertical Research Partners.
James Armstrong - Vertical Research Partners Inc.: As we look into the fourth quarter, are you seeing higher levels of competitive pressure? And is that being translated into lower pricing? Or is this -- or is pricing holding up and this is all a volume effect?
Henry J. Theisen: Well, I think it's all volume effect. We've worked very hard and diligently to get the first half raw material increases passed through our customers, and I think we've done an excellent job in doing that. What we see really is pretty much across the board volume concerns, all related to the price of food.
James Armstrong - Vertical Research Partners Inc.: Okay, that helps. Sorry, appreciate it. And just to dive into the small plant closures, are there any regions that you see most of those closures happening, heavier or just more in certain regions?
Henry J. Theisen: No, they're going to be spread around. We're going to have closings in North America, South America, Europe. It's really a global effect. It's not concentrated in one region.
Operator: And our next question comes from Mike Hamilton with RBC.
Michael A. Hamilton - RBC Wealth Management, Inc., Research Division: Was wondering if you could give a little bit of assessment as you've reflected than what you've seen out of Brazil in currency volatility, et cetera. Is it changing at all, how you're approaching the business? Is there anything that can be done that will mitigate some of the volatility that we have seen over the last year currency-wise?
Henry J. Theisen: That's a good question, because the currency changes that we saw in the third quarter have affected our performance. And also, the just overall Brazilian economy slowing down has affected our operations. As we got together at the end of the second quarter and put together our guidance, we really did not expect to see the Brazilian economy slow as it has, nor did we factor in the currency effects. So it did affect our third quarter performance, and it's part of our fourth quarter guidance. The slowing economy in Brazil has affected our volumes, more so than we had planned at the end of the second quarter. And the currency effects, it's kind of strange because the currency effects have a change of about 10% with most of -- a lot of our raw materials being imported drastically increased the price of the raw materials and then the Brazilian manufacturers of competitive products also increased price to match this currency effect on imports. And in all parts of the world, we really caught up on the raw material increases of the first half of the year. This is kind of a unique situation now where our Brazilian operations have to deal with both the volumes and the currency effect raising the raw material costs.
Michael A. Hamilton - RBC Wealth Management, Inc., Research Division: Be careful what we wish for, right?
Henry J. Theisen: Yes, be careful of what you wish for.
Michael A. Hamilton - RBC Wealth Management, Inc., Research Division: Is there anything that can be done contractually in some of that input costing, or are you pretty well there and it's just a matter of dealing with the volatility we got right now?
Henry J. Theisen: In our Brazilian and our Latin American really don't operate on contracts as much of the North American. So it's more of a day-to-day negotiation or an order-to-order, and our management team in Latin America understands where they operate, and they're out pushing these raw material increases through as best they can, and I'm sure they’ll be very successful as they have shown to be in the past.
Operator: [Operator Instructions] And our next question comes from Asha Nampapali [ph] with Goldman Sachs.
Unknown Analyst - : Could you comment on your outlook for use of free cash flow going forward as to the priority of using it for reducing leverage or share repurchase as [indiscernible] increases?
Scott B. Ullem: Sure. Short term, our priority for cash flow is to repay the $300 million 4 7/8% bond that matures in April 2012. Longer term and over time, our priorities for use of cash flow remain the same. And in order to pay a continually increasing dividend to fund internal growth initiatives, to fund acquisitions as they present themselves and as we make strategic decisions to acquire businesses and grow externally and then to balance our capital structure between share repurchase on an opportunistic basis and managing our debt levels.
Operator: And our next question comes from Chris Maxwell with Wells Fargo.
Chris Maxwell: A couple questions for you. Let's start with on the restructuring side, and I appreciate you may not have disclosed this to all of workers or things yet, that you don't want to get specifically into -- too deep in the numbers but can you give us a sense as to what you're undertaking here in 4Q as a percentage of workforce perhaps or how that’ll impact your utilization, and then also give us a sense as to what you're contemplating for 2012, just orders of magnitude of what it could be, and also appreciating that you may not fully know how big you want to do yet but just some sense of magnitude as to what the bookends are that you're contemplating for restructuring and perhaps if it makes sense, what that might do to your utilization levels?
Scott B. Ullem: Sure, Chris. First, it's not a restructuring. We're optimizing our operations and there are really 2 components to it. One is we are reducing workforce in the low single-digit percent of total employees, and so making some surgical rightsizings in the workforce that we have in place around the world. Second, we are going to address some small-sized production facilities to help optimize our operational efficiencies, and those will take place over the next several quarters. As we consolidate operations, move equipment -- consolidate the operations that are being closed and move equipment -- relocate equipment and production and we'll give you a better sense of how those charges and benefits are going to flow through in our January call.
Chris Maxwell: Okay. That's helpful. And the second question I had was around -- I appreciate that you don't know how long volumes are going to remain challenging or things of that nature. But from your conversations and discussions with your customers, have they -- has there been any change in their appetite for product conversion or new product launches, i.e., have they perhaps scaled back the size of any launches, delayed any launches? Or is it still all systems go in terms of looking to develop and look at new products. Just some sense of color as to what the customer mindset would be helpful?
Henry J. Theisen: I’ve ventured this a number of times where you have some macroeconomic conditions that affect volumes, and our customers recognize that packaging really drives a lot of opportunities for them and they have to differentiate themselves on the marketplace. And as you enter these times, I think the product development activities actually pick up because you're competing more and more for that same purchase. A good example of that is our Dip & Squeeze, which has come out now and which is growing and is – you’d think nothing would happen with ketchup, but it is generating a lot of sales in the ketchup arena. And so I think that's a good example and I really believe when you hit these areas, new products are what customers look for because it helps differentiate from everybody else in the marketplace.
Melanie E. R. Miller: Also Chris, the fact that this is, to some degree, driven by the increased food prices in the grocery stores, our customers do tend to use new products or they tend to repackage their products in order to try and make the food prices increases more palatable and introduce new products in order to create value for customers at this higher price.
Operator: And our next question comes from Tom Mullarkey with Morningstar.
Thomas Mullarkey - Morningstar Inc., Research Division: A couple of questions. First, I was hoping that you could maybe expand a little bit on the Mayor Packaging acquisition. If you look in the coming years, will you be looking to gain additional scale in China, either through additional M&A? Or is this an acquisition where you can maybe make additional capital investments in the coming years? And also, what does Mayor Packaging's existing product mix and customer mix look like?
Henry J. Theisen: Mayor Packaging, I think, was a very strategic move for us. We all know that the Asia Pacific rim is growing. We have been looking for a good entry where you can get a base to grow your business. We've acquired, I think, an excellent operational team, excellent management, and hopefully, they'll be just like our people in Brazil and help us grow the business. We intend to continue to invest in that part of the world. We think we have a base where we can move some of our higher technology products that get into packaging proteins. I think we can grow our medical business on this foundation. So we hope to expand or we plan to expand both the markets that they service, which are in the retort area and the pouch area, as well as implant some of our technologies that will allow Mayor Packaging to grow in the protein and the medical device in pharma business. So I look at it both ways.
Thomas Mullarkey - Morningstar Inc., Research Division: Okay, great. And could you provide additional commentary on how the FreshCase film trials have been going in the second of the year thus far?
Henry J. Theisen: Our FreshCase trials continue to go well. We are getting more and more people interested in it. Unfortunately, it takes a while to go through all the shelf life testing that's required, but we are starting to generate miniscule sales, and I'm going to call them almost like trial orders. But it's generating a lot of activity and I think we'll start to get some traction in FreshCase in 2012.
Operator: And our next question comes from Philip Ng with Jefferies.
Philip Ng - Jefferies & Company, Inc., Research Division: With demand coming down a little bit, do you have a sense of CapEx is going to shake out next year?
Scott B. Ullem: Yes, Philip, we do not have our CapEx plans finalized yet for 2012. We're still in the range of about $125 million for 2011. Our depreciation and amortization is up around $215 million, and over time, you should expect that CapEx will get closer to depreciation and amortization. But for the foreseeable future, it will be less than that.
Philip Ng - Jefferies & Company, Inc., Research Division: Okay, that's helpful. And it sounds like the pricing initiative is still going through, so you're not seeing any pushbacks that used to come out [ph]. Has the competitive landscape changed a bit where you’re having a more difficult time pushing pricing through?
Henry J. Theisen: I think that our ability to push the pricing through that we saw from the raw material increases and commodity increases in the first half of the year went very well. I think it went just like some of the others that we've experienced in the past. Customers always want to push back and we know when you have raw material costs that make up 50% of your selling cost, you have to get those through or you cannot stay alive. And our operating guys and our sales force and our marketing people know that very well, and push hard to drive those through.
Operator: [Operator Instructions] And our next question comes from Tim Thein with Citigroup.
Timothy Thein - Citigroup Inc, Research Division: So just looking at the implied guidance for the fourth quarter, it's called 1/3 worse than what we thought 3 months ago. And as I just listened to the various drivers here, it sounds, again, based on the comments you just made, Henry, that price cost presumably is getting at least close to, or caught up in the fourth quarter. You mentioned earlier that the new product spending and the focus from customers remains reasonably favorable so I would imagine that bodes well for mix. So just coming back to the volumes, you had a quasi-competitor today, who does play even more in kind of away from home channel, had kind of volumes that were flat to down 1%. And then -- so I'm just trying to get my arms around where you think the volumes are going? And going back to the earlier comments about market share and I know that's hard to really get at, but can you maybe expand on that where you think -- I guess, why the conditions have been so much worse than you thought just 3 months ago?
Henry J. Theisen: Yes, there are a couple different influences on our current volume trends. One is just macroeconomic conditions and what the consumer behavior has done, which is weakening the volumes at the retailer level. Second is that we're in a seasonal period where fourth quarter is usually relatively weaker for us. Third, all of our customers in the supply chain has gotten exceptionally tight at this point in the year. And so that's constricting volumes as well, which has some year-end effect to it that will not -- that we expect will not be the case when we get into 2012. And then in Brazil, the volumes have fallen precipitously from where they were just a couple of months ago. So those are at least 4 volume trends that are different now than they were earlier this year.
Timothy Thein - Citigroup Inc, Research Division: Okay. And staying on the flexible business, looks as though margins here will fall below double digits for the first time, in our model anyway since back to the early '90s. Do you think, and I appreciate the impact from Alcan, as well as some of the other investments you've been making. But is there anything structural that you would point out that would limit you guys to, say look into 2012 and I know you're not giving guidance, but that you'd caution in terms of not getting back to double-digits next year based on the way the world looks today?
Henry J. Theisen: No. The arithmetic on the percentage margin always goes down in a rising raw material environment because we protect our operating profit dollars, but we see no reason why over time, we're not going to be able to continue to improve our overall operating profit margins and our flexible profit margin -- flexible packaging profit margins as part of that.
Operator: And we'll now take a follow-up from George Staphos.
George L. Staphos - BofA Merrill Lynch, Research Division: I had to jump off and get on another call, but I want to come back to the question I had asked earlier, Henry. So to the extent that you evaluate your portfolio within flexible, and to the extent that you've done this analysis, what portion right now is not earning a margin commensurate with what you think it should or is earning cost of capital?
Scott B. Ullem: George, it's Scott. Look, we look at return on invested capital very carefully. And we look at it by a couple different angles, whether it's geography, customer, type of product line. But we really don't get into talking through publicly, relative returns. What I can say is, it's increasingly important, it's one of the reasons why you've seen our capital expenditures be very disciplined over the last couple of years, and we are continuing to look at businesses where we can achieve over the intermediate term, an attractive return on capital because as we think about it, with every dollar of cash that we have to spend, we can invest it on -- in a whole number of different ways, ranging from internal growth investments, external growth investments, managing our balance sheet and that's just the way we have to approach disciplined use of our cash flow.
George L. Staphos - BofA Merrill Lynch, Research Division: Okay. I guess that's helpful. On corporate expense, you've done a nice job of taking that down. Do you think there's any further room to bring that down, Scott or Henry, from the $8 million [ph] run rate in the third quarter?
Scott B. Ullem: Yes, we are obviously, focused on corporate expense, which is the reason why we're taking some of these actions both in the field and at corporate. I think that SG&A expenses will probably go up again a little bit in the fourth quarter. But over time, it's something that we're looking very closely at.
Operator: And it appears there are no further questions.
Melanie E. R. Miller: Thank you very much. This ends our conference call. Thanks, all, for joining us for today.